Operator: Ladies and gentlemen, thank you for standing by, and welcome to Telkom’s Full-Year of 2019 Results Conference Call. At this time, all participants are in listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I’d like to hand the conference over to your first speaker today, Mr. Andi Setiawan. Thank you. Please go ahead.
Andi Setiawan: [Audio Gap] session. Before we start, let me remind you that today’s call and the response to the questions may contain forward-looking statements within the meaning of Safe Harbor. Actual results could differ materially from projections, estimations or expectations voiced during this call. These may involve risk and uncertainty and may cause actual results to differ substantially [Audio Gap] Harry M Zen as Finance Director; Mr. Zulhelfi Abidin as Network and IT Solutions Director; Mr. Edwin Aristiawan as Wholesale and International Service Director; Mr. [indiscernible] as Enterprise and Business Service Director; Ms. Siti Choiriana as Consumer Service Director; Mr. Achmad Sugiarto as Strategic Portfolio Director; Mr. Faizal R. Djoemadi as Digital Business Director; and Mr. Edi Witjara as Human Capital Management Director. Also present are the Board of Director of Telkomsel; Mr. [indiscernible] as President Director; Mr. Heri Supriadi as Finance Director; and Ms. Rachel Goh as Marketing Director. I now hand over the call to our CEO, Mr. Ririek Adriansyah.
Ririek Adriansyah: Thank you, Andi. Good afternoon, ladies and gentlemen. Welcome to our conference call for the full-year of 2019 results. We really appreciate your participation in this call. Ladies and gentlemen, for the full-year of 2019, our [indiscernible] became the engine of growth and continuing to demonstrate a strong promise. Mobile digital business also saw strong growth on the back of solid data traffic in line with 4G network quality and coverage. In the meantime, enterprise business experienced as we deliberately reduced our exposure on margin business and partly due to [indiscernible]. For the full-year of 2019, our Telekom [indiscernible] 3.7% year-on-year growth in revenue to Rp135.63, while EBITDA and net income grew by 9.5% and 3.5% year-on-year, respectively as a result of modest growth in total expense of 1.3%. Our EBITDA margin recovered 47.8% or 2.6 [basis point] increased from that of 2018. Cash flows from operating activities reached historical high of 51.9 trillion [or down by] 20.3% year-on-year. Export then business [indiscernible] became the growth driver, continuing its still performance the revenue grew by 28.1% year-on-year, while in mobile business, the consolidated business grow strongly by 33.1% and successfully [indiscernible] business to decline. Ladies and gentlemen, during full-year of 2019, our fixed broadband posted remarkable performance, even added 2 million new subscribers during the year of 2019 to reach 7 million of subscriber. Telekom contributed [13.3 trillion] with the independent have jumped on 8.1% year-on-year. In an effort to generate more revenues, we continue to push around sales service objects with up-sell to [indiscernible] set-top box. This accounts contributed to around 13.6% of total revenue in full-year of 2019. In line with the higher economic scale, we successfully improved [in-home EBITDA] margin from 25.6% in 2018 to 33.9% in 2019, getting closer to global standard. In 2020, we target to add another 700,000 new subscribers lower than last year due to floods in the beginning of the year and also the COVID-19 pandemic. Ladies and gentlemen, on the mobile side, these are business through provision of high-quality broadband connectivity and quality of digital services become the main growth engines. These business increased significantly by 23.1% to 58.2 trillion, driven by 2020 22.3% increase in data and 29% in details of this. In 2019, digital business accounted for 63.9% of total revenue increased significantly from [53.0%] for the same period a year ago. In the meantime, the competitive business continued to decline due to natural transition from legacy to data, together with the various [indiscernible]. Overall, [business] financial and business performance in the full-year of 2019 recorded revenue, EBITDA and net income growth of 2.1%, 3.7%, and 1.0%, respectively. EBITDA margin improved by 0.1 percentage point to 54% amidst the decline in legacy business. Ladies and gentlemen, we continue our [indiscernible] high-value customer by providing services according to their representatives. And at the same time, we pay a lot more attention to the U.S. market by giving attractive prices through digital channels. We keep investing to certain number of quality and corporates to provide the best experience for our customers. We deployed more than 23,000 new businesses during full-year of 2019 over [4G business]. By the end of 2019 [indiscernible] around 204,000 units, 76.3% of which were 3G and 4G which supported [that particular] increased by 53.6% year-on-year. Our [indiscernible] business declined by 11.2% year-on-year as we intentionally reduced low-margin business and see that our focus on more profitable services such as data center and cloud and also [be separate quality] of characteristic. In an effort to strengthen data center and cloud business, we are building more than 3,000 worth of data center and the first stage is expected to commence next year. In the long run, we tend to get another 6% rate of data center. Our Wholesale International Business segment recorded 10.6 trillion in revenue or grew by 5.2% compared to the same period last year. The segment is the integral for other segment in Telekom Group, in particular, for mobile business. It's very important and strategic in providing internal support; while at the same time also serve external customers. It is reflected in Telekom associated result. Whole and International Business contributed around 7.8% of total consolidated group revenue. In 2019, Telekom Group spent 36.6 trillion of capital expenditure or 27% of revenue, mainly utilized to enhance our mobile and fixed line of group infrastructures. The mobile services CapEx was utilized to further improve 4G network quality and capacity as well as IP system enhancement. While in fixed line business, CapEx was primarily utilized to the global fiber-based access and backbone infrastructure to support fixed, as well as mobile broadband business. A small portion of CapEx was assigned to other projects as forward. COVID-19 outbreak that we experienced as early 2020 has undeniable impact on the overall economy [indiscernible] in the investing. While we conduct our tactical action to help alleviate the impact of COVID-19 crisis, we anticipate that our performance this year will be quite effective explicitly independently prepare us to work at least the first quarter. Due to high uncertainty caused by the COVID-19, we are still unable to provide any guidance for 2020. Nevertheless, since the end of the first quarter of this year, we have been performing strict cost cutting measures as part of our commitment to maintain profitability. In an effort to maintain the quality and corporate, we tend to spend CapEx of around 25% of revenue in 2020. That is ending my remarks. Thank you.
Andi Setiawan: Thank you, Ririek. We will now begin Q&A session. Getting your question, please clearly and state your name and your company. Operator, may we have the first question, please?
Operator: [Operator Instructions] We thank you for your patience. Your first question comes from the line of [indiscernible] from Goldman Sachs. Please ask your question.
Unidentified Analyst: Hi, good afternoon. So, three questions from me. Firstly, can we have an update on the mobile competition that we are seeing year-to-date? Have there been any significant change compared to last year? Secondly is on your digital service. You talked about this detecting a very key driver of growth. I’m wondering whether for Telkomsel, are they able to also monetize on some of those services like, let's say, video streaming or mobile financial services? Or are we simply monetizing largely true selling data for that? And then lastly, I’m wondering on even the whole, right? I mean, what is sort of the normalized or longer-term EBITDA margins that we can probably get to? We're seeing obviously very nice increase in margins last year. Thank you.
Rachel Goh: Hi. I'm Rachel, Telkomsel. Just addressing your first question regarding competition, so, if referring to year 2019, we see that none of the other competitors in the top three have achieved any significant monetization on data, which is pretty much data corresponding. In terms of the – and also to take note that for additional data revenue, Telkomsel still managed to achieve a significant share of the revenue flow data. And pricing-wise, it still remains – it was very competitive in terms of price in 2019, especially towards the end, when you saw one of the top three operators here when going into a limited push their RPM be extremely low, question would be then what's next after the unlimited offering? We also see in terms of competition – increased competition in ex-Java because of the extension of our competitor’s network in the ex-Java and hence it's how they will play the price game to achieve revenue share. In Java itself, we've seen it pretty stable and it's something which could be an opportunity for Telkomsel. I hope that it's responded to your question on competition. From Telkomsel’s point-of-view, we will continue to focus on renewal on maintaining competitiveness in our network quality. And also especially in our high-value segments, we are very concerned with quality and also the variety of packages and non-data services that we offer, which leads me to the next point about yes, we are monetizing not only for data, we’re also growing in terms of our gaming business, as well as our video business. Thank you.
Ririek Adriansyah: Okay. For the third question, at least for the next couple of years, we believe the EBITDA margin will gradually move towards [mid-30] levels of around 35% level. And then we hope in the long run, it could be getting stronger as we’ve been strengthening the digital touchpoints whereby make it easier for customers to reach us. And at the end, it would reduce the O&M costs, which helps the EBITDA.
Unidentified Analyst: Okay. Thank you.
Operator: Your next question comes from the line of Piyush Choudhary from HSBC. Please ask your question.
Piyush Choudhary: Yes. Hi, good afternoon. Couple of questions. Firstly, the question for Ms. Rachel. For Telkomsel, if for 2020 and kind of medium-term, is this strategy now to maintain the market share – revenue market share, or is it to improve the revenue market share? And if you can share what are the initiatives taken to achieve such goal? And how has been the response to the by.U product, if you can share that? Secondly, on the impact of COVID, could you specifically share how is the impact on the non-mobile business, particularly the enterprise business? And thirdly, could you share what are the various cost efficiency initiative taken by the company to maintain our improved margin? Thank you.
Rachel Goh: Hi. Rachel here. So, address on your 2020 question number one, strategy. Regarding revenue market share, improve or maintain, of course. As an organization, we always want to increase our revenue market share. However, we will always focus on sustainability and health of the revenue market share. So, this is very much in line, market share revenue, market share leadership is key for us. And also that is supported by our aim to keep investing in our network to make sure the quality is very good, because we will be focused on high-quality and high-value technical for our customers’ [indiscernible]. And what initiatives we have put in place so far, so you have seen how we pushed out a variety of new products such as our per share packages, as well as [indiscernible], page have been pushing out [indiscernible] I think in the first-half of this year. This was the true start to physically push. And although, the RPMB has the time, what has been very, very encouraging for us is that the [ARPU] has been accretive. So, it really shows that there is demand for Telkomsel’s network quality that is the potential for growth [indiscernible]. So, the pricing what we've done in end of Q4 2019 is starting the results for us. So, the answer is yes, we wanted to continue to maintain or improve our revenue market share. We put in initiatives with variety, so slightly adjusting RPMB down by focusing on ARPU and growth in high-value segments. And in terms of value, we're starting to see that the value base that come online is actually what we're going after the digital segments. So the numbers on day-by-day is improving. And what is important is and noteworthy is that, ARPU and then data utilization of the value base is extremely high compared to the average customers. So that’s we have – I hope that answers your question.
Piyush Choudhary: Yes, it does. Thank you.
Ririek Adriansyah: Second question. On the second question, you're asking about impact of quality. So, which particular segment?
Piyush Choudhary: Yes. No, specifically within the non-mobile segments, if you could share what's the kind of impact you are seeing on the enterprise business? What should we expect in 2020?
Ririek Adriansyah: Yes. Hi, Piyush, Ririek here. So we have started to see a few events such as project getting delayed or even getting canceled. And some clients have also either reduced their spendings or total churn from some of our services, especially those who are in adversely impacted industry, such as hospitality, transportation, and property. There has also been some payment delay or request to return the restructure the contract, as well as the payment. And also because of the lack of mobility of people within the situation, delivery of the project have also been delayed. We have been unable to determine the quantity of this as this is a very dynamic, but admittedly, we have seen those things happening in the past couple of months.
Piyush Choudhary: Got it. Thanks, Ririek. And on the cost initiative – cost out initiatives?
Harry M. Zen: We've been doing various things from the O&M, as well as some of the personnel costs like trainings, some G&A costs. It is in our strong intention to keep the same kind of EBITDA margin and net income margin within this year as what we have in 2019 for the entire group.
Ririek Adriansyah: And into the expansion, I think it's some the marketing and sales activities with the current condition, we use more digital channel right now compared to before. So, for example, [indiscernible]. This as well impacted our cost of marketing and sales. We see this it's going to be sometime in the future, but it is the trend. Although we are still also need to manage the tradition of channel as we see the tradition also part of the B2B business in the future.
Piyush Choudhary: Thank you. Bye.
Operator: Your next question comes from the line of Colin McCallum from Credit Suisse. Please ask your question.
Colin McCallum: Thanks for the opportunity. Two questions from me. First of all, just on IndiHome, you mentioned 700,000 target for this year. You also mentioned flooding and, I think, first quarter was particularly bad, but other than that issue in first quarter, intuitively, one would have thought the demand would be quite strong given work from home and homeschooling, et cetera. So, is it a kind of lack of end user demand you're seeing in addition to the flooding? Or is it sort of difficulty accessing homes, because people don't want engineers to come to their home to be connected, because they're worried about the virus. A little bit more color on why the net ad numbers are less than a million would be helpful? Second question related to that. If you're only looking at 700,000 net ads, why would your CapEx to sales ratio not fall a bit more? I think it's falling from 27 to 25 you said. Why would it not be falling more? Is it related to the datacenter builder? If you could give us a bit more color on that Ririek, that would be good? And then third question just kind of housekeeping one, the impairment charge of 1.2 trillion, what was the background to that distributor? And what is the remaining book value that you have in your accounts? Is it likely that we will face another impairment on that later? Those are my three questions. Thank you.
Ririek Adriansyah: Okay, I’ll take. On IndiHome, yes, Colin, the work from home and learn from home situations have helped quite a bit in terms of increasing our sales volume, but we are anticipating that this will not last forever, even for the new customers. We are anticipating that likely some of them will either reduce their subscription or operator from the new subscription that they just signed up. But you are also right that there has been some – because of the spreading of the virus, the mobilization of our technicians has somewhat been hampered as well. So, we have not been able to operate throughout the country, especially in those we have here like what we call [red-zones]. So that's for the IndiHome. In terms of CapEx, some other purposes are still there. The new one is, like you mentioned is the data center one, that will cost us around slightly more than Rp700 billion for this year. There will be some more CapEx next year. And also to enhance the traffic in the home sale, particularly in 4G, there's also some CapEx we will spend for hours and for the IP enhancement, both in [indiscernible]. For the impairment charts, this is due to the decline of the share price of the company from more than Rp100 by – in the beginning of 2019 to around Rp300 at the end of 2019. So this is purely an accounting treatment that we have to do. But in the company's book itself, the book value – the remaining value is still around Rp500 million as of end of 2019. We are exploring ways to mitigate potential further risk with regards to this, but the reverse thing could happen, right? If the share price strengthened, then we will see some reverse thing could happen.
Ririek Adriansyah: [Indiscernible] on the CapEx. Half of this CapEx articulate are coming from [indiscernible] mainly driven by the demand. Demand very much increase from year-on-year. In addition we need to maintain the quality we provide to our customers. [Indiscernible] compared to our competitors. This is one of the aspects of our strategy. That’s why we are, I think, we think that our CapEx going to be about the same this year because with – even with the digitalization trend with regard to this profit, we need to bring one more for the capacity and quality.
Colin McCallum: Got it. Very clear. Thank you.
Operator: Your next question comes from the line of Arthur Pineda from Citigroup. Please ask your question.
Arthur Pineda: Hi, thanks for the opportunity. Several questions, please. Firstly, on the Enterprise segment. What drove the big loss in enterprise in the fourth quarter? You're basically booking segmental profits until nine months and booked a massive loss in 4Q, even though there was a big jump in revenues. Can you give clarification there? Second question is with Telkomsel, what can be done to address the revenue market share slippage? So, if you look at Singtel's recent disclosure, you could see that revenue growth still lags versus peers. We know that your networks already far better versus everyone else, but what needs to be done, so that you can grow alongside market? And next question is how keeping question, are – were there any other one-offs for the period? Thank you.
Ririek Adriansyah: I think – okay and I take on this one. I think there is – you can see in the year 2019, we still have a growth in the FX. We do expand the – I think decline in [indiscernible], the focus on the reserves [indiscernible] I think you can see in the – although we are not clearly believe our third quarter of this year results [indiscernible] the Intel conference call at our quarter-by-quarter that increase [indiscernible] maintain our quality.
Rachel Goh: Yes. I'll address the point about the equity clearly. I'll address the point about Telkomsel’s revenue market share. So, overall, revenue share has dropped mainly because of our legacy, which is still in decline. As you know, compared to the other players, our voice revenues estimates [indiscernible] higher. However, to drill down into the data digital revenues, we think we have been doing quite well with our data revenue share 62% amongst the big three.
Arthur Pineda: So for you to grow alongside market, you need to reach for the legacy revenues to be similar to what you have with your other peers?
Rachel Goh: At the same time, we are also taking measures to continue to increase our network investments to try to drive up our data revenues as rapidly as possible to be able to make up for the declines in legacy as much as we can and also in other additional ventures that we have.
Ririek Adriansyah: Understood. And maybe additionally [indiscernible] this one. The long-term objective of us besides the economic legacy going to decline, we are going to [indiscernible] stable and healthy margin both in EBITDA and [indiscernible].
Harry M. Zen: Arthur, for your first question on enterprise, in fourth quarter, we have to put some additional provision for doubtful accounts in the business. I think that’s just half of most of the performance declines.
Arthur Pineda: Thanks, Ririek. Is it possible to disclose what that number would be? So we can better see the outlook for FY 2020?
Ririek Adriansyah: The provision in the fourth quarter?
Arthur Pineda: Yes.
Ririek Adriansyah: Slightly below 400 billion, around 380 billion, 390 billion.
Arthur Pineda: Okay understood. And are there any other one-off items being booked in period?
Ririek Adriansyah: Besides the parameter that we just talked about, there's nothing else.
Arthur Pineda: Understood. Thank you.
Ririek Adriansyah: You’re welcome.
Operator: Your next question comes from the line of Ranjan Sharma from JPMorgan. Please ask your question.
Ranjan Sharma: Hi, good afternoon, and thank you for the call. A couple of questions from my side. Firstly, with the impact of COVID, have you seen any change in consumer behavior in the first quarter and also in like April and May? Have you seen a movement of customers between operators in consolidation rising spend? If you can share any color, that would be helpful? Second question is on dividend. Has there been an announcement made on it? And how should we think of the policy? Lastly, can you share any update on any regulatory changes that might be impending in Indonesia? Thank you.
Ririek Adriansyah: Okay. Well, Ranjan, on the first question, impact of profit and the change of customer behavior. [Indiscernible] for example, more you are seeing the modern channel – the digital channel, which is around 60% of the total [indiscernible] in the digital channel. Second, actually, the tradition of the channel also maybe people said, they are not rely operating. But with the digital channel, that I think spread across the country. We still maintain to have the similar figure in a [indiscernible]. I think if we see this one, we can see actually the – this is a good trend for us. Besides, in fact, we have still made a traditional [Audio Gap] channel when we do, will affect the growth new business later on. And one is, I think, this trade digital channel going to be in the future. And what is the impact of that to the customer. More now, I think the traffic itself in the customer base, they are consumed the traffic actually at all. So I think, again, the traditional channel in the center of the, I think, cloud not necessarily becoming a point of the transaction. There you see again digital channel to do this transaction. So, I think a lot of the change in the customer behavior, in which they are becoming much more digital now compared to before.
Harry M. Zen: Yes. Maybe adding to that, we also have seen tremendous uses of Internet in our network through in the home. The latest data that we can share was 9.6 terabytes per second that was by early April, which was 11% increase from mid-March when the pandemic literally started in Indonesia, so 11% increase in two weeks. And also in terms of sales volume or a new installation volume of IndiHome per day, at the end of March and in April until maybe the beginning of May, we saw like around 8,000 to 10,000 per day. Even though now has somewhat reduced to the [indiscernible] of around 5,000 to 6,000 new installation something. For your second question and then on dividend, we – as we speak, we have still been communicating with the Ministry of State on Enterprise in terms of the dividend that we will, for sure, we'll announce it at our AGM on the 19th of June.
Ririek Adriansyah: And in the – adding to the first question, on the, I think, some application that are very – our portfolio right now is [indiscernible] our own application as a becoming soon [indiscernible] 100% of growth ad. And so the people really becoming more and more digital in doing their work.
Ranjan Sharma: Sorry, I had a question on the regulatory changes, if anything is impending? And so the line was unclear, but had you mentioned that they will be like 700,000 net ads on IndiHome this year? Thank you.
Harry M. Zen: So you’re asking about number of customers or data?
Ranjan Sharma: Number of customers, net ads or IndiHomes for this year?
Harry M. Zen: Oh, yes. That's the target of additional customer in the IndiHome for this year, which is around 700,000.
Ranjan Sharma: Okay. Lastly – yes.
Ririek Adriansyah: On the regulatory, there's no annual, I think, regulatory [indiscernible]. The last one is about in May [indiscernible].
Harry M. Zen: Not sure if you are aware that, yes, there's a recent change in the corporate tax number. So, starting this year, it would be 19%. For publicly listed companies. [Indiscernible]
Ririek Adriansyah: [Indiscernible] company from 25% of income directly coming 22% of income. That, I think, some incentive that is given to the companies during this company.
Ranjan Sharma: All right. Thank you so much.
Operator: Your next question comes from the line of Prem Jearajasingam from Macquarie. Please ask your question.
Prem Jearajasingam: Hi, thank you for the opportunity. Two questions from me, please. First of all, following up on the regulatory question. Given what COVID has done to the industry, do you think that there is an increased likelihood of industry consolidation taking place post-COVID or even as soon as 2020? Or do you think there's still too much uncertainty around the spectrum situation to post this? And related to that, do you see the competition facing increased network issues and potentially monetization issues, given this COVID pandemic? And what do you think happens next on this front? Thank you.
Harry M. Zen: I'm going to answer the number to question – the second one on how the [indiscernible]. I think with the COVID and with the growth of the data framework experienced by all the operators, we do expect that all the operators are already aware that we need some more capacity and quality as well, so the [indiscernible]. With this – with, I think, without thinking about monetization with, I think, profit margin that our competitor already mentioned today – [indiscernible] not a thing coming to more, let's say, intense competition in the pricing, which is better to monetizing this one. We already see one of the competitors, although they provide the unlimited, but unlimited, based on the situation, the customer need to consume the main quota. It's been [indiscernible] they are thinking about, I think, monetization. The other one, I know that [indiscernible] to reduce the unlimited package because with this capacity demand, they need to invest more. I think without justified price, they're not going to make any margin. I think this is supposed to be making a bit more rational thinking on how to monetize [indiscernible]. And I think the consolidation of post-COVID. This question is difficult to answer the question. It is, of course, to be from a long, long time ago, we believe that I think maximum number of operators is going to be better for the industry. The less number of operators becoming to the industry, I think, the players going to be more or less on. We still believe this opposed to be based on business [indiscernible]. So whenever it is going to happen, basically, we support the industry consolidation into [indiscernible]. Based on, I think, from the data center government are very interesting also what expect to post-COVID.
Prem Jearajasingam: Has there been any clarity with regards to the spectrum in the consolidation process or is that still the big unknown?
Harry M. Zen: I think sales unknown on this one. But if you ask with us, when we think about 5G, I think, spectrum, it is supposed to be bigger. That can be also another reason for consolidation there.
Ririek Adriansyah: Okay. I just go ahead some other point of – on top of what [indiscernible]. I think post-COVID, the mid of the industry become healthier is the bigger interest of everybody. So, at least that there could be consolidation in one of them, but – and also can be somewhat [indiscernible] monetizing the networking in a better result. So we do expect that all the letters can be more rationale in the competition.
Prem Jearajasingam: Okay, thank you.
Ririek Adriansyah: Thank you
Operator: [Operator Instructions] Your next question comes from the line Niko Margaronis from Danareksa. Please ask your question.
Niko Margaronis: Yes. Good afternoon and thank you for the opportunity. Two questions, which arise from some news that surfaced from media. First is about potential monetization of towers? And secondly, the potential partnership with Netflix. So, if you can give us some color on these two topics? And whether you believe if adding Netflix into your product portfolio would increase the ARPU? And maybe one more question on – we see that data yield for Telkomsel fourth quarter coming down and we heard about Singtel commentary on Telkomsel. And is the data yield came down further in first Q 2020? And yes, and how to connect this with your argument that the competition will moderate going forward this year? Thank you.
Harry M. Zen: Okay. I'll take the tower questions. Yes, we are not inverting to do any monetization in our tower business. I think that the way we see this business is somewhat different, probably compared to any other operators or any other independent tower providers. So we see that as an important enabler to support our business, particularly our mobile business. Having said that, we are open for any – obviously, very – if there's any clear benefit from monetization, but not in a near-term. So – but we do realize the importance of tower, especially when 5G comes around, whereby we need better or more density of towers if we have 5G.
Ririek Adriansyah: So – okay. On the Netflix – go ahead, go ahead. Please go ahead.
Niko Margaronis: Oh, yes, thank you.
Ririek Adriansyah: Go ahead, buddy.
Niko Margaronis: Yes, thank you, buddy. Basically what are the options for you available? Is that widening your tower portfolio or taking it IPO? Or yes, what are the options for towers in front of you? Thank you.
Harry M. Zen: We're basically open for any options. We're not – as of now, we're not seriously thinking any particular option. And as I said earlier, [indiscernible] was not really in a hurry to execute anything with regards to our business qualification, anytime soon.
Niko Margaronis: Okay. Okay. Thank you, everybody.
Ririek Adriansyah: Okay. But, Niko, on the second question is on the Netflix, the end of a deal of discussion with them. And so far, it's progressing quite well. Maybe the discussion was focusing on two things. One is on the compliance with the regulatory and the second line is the protection of all the subscribers. So, I believe we are closing the gap between the two. And once we get in the subdivision, we're going to be opening all the access to Netflix, both in the home and the console.
Ririek Adriansyah: Also like your question on the part of our plans, it increased our portfolio of our ARPU. Yes [indiscernible] do like to and maybe other content is one of the direction depositing data connectivity. Definitely we like to provide, I think, a good option for our customers is important to stay with us and also increase the consumption of data and also we set some also profits of the services. I think many other more besides of video, we have game, and et cetera, I think the digital services in order to increase the ARPU that we have. And your question on the third question, what is the [indiscernible] call that, I think, segment saying that probably that I think that the data can be lower. That's again been profitable. What we are actually – my focus is to increase the productivity of our customer base in order to increase the ARPU. As long as we can have that one that way, we have, lest say, [indiscernible] package, daily package to our customers, because we have the one, I think, demand on daily on people that [indiscernible]. In addition to this one, this also only operated one day, three day and, et cetera. This going to increase, I think, the consumption of our customer. In retail, it's going to increase the ARPU in total. So, we know that despite our profitability on this one, and one more, I think, kind of [creativity] of increase, let's say, maintained profitability because some of this capacity already this year.
Niko Margaronis: Okay.
Operator: There are no further questions at this time. I would like to hand the conference back to Mr. Andi Setiawan for closing remarks. Please continue.
Andi Setiawan: Well, thank you, everyone, for participating in today's call. And should you have any further questions, please feel free to contact us directly. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may all disconnect.